Operator: Good day, ladies and gentlemen, and welcome to the Tronox Limited Third Quarter 2017 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. As a reminder, this conference is being recorded. I would now like to hand the floor over to Brennen Arndt, Vice President Investor Relations and Communications. Please go ahead, sir.
Brennen Arndt: Thank you, Karen, and welcome to Tronox Limited's third quarter 2017 conference call and webcast. On our call today are Peter Johnston, Chief Executive Officer; Jean-François Turgeon, Chief Operating Officer; and Tim Carlson, Chief Financial Officer. Joining us for the Q&A session will be John Romano, Chief Commercial Officer. We'll be using slides as we move through this morning’s conference call. Those of you listening by Internet broadcast through our website should already have them. For those listening by telephone, if you haven't already done so, you can access them on our website at tronox.com. A reminder today that our discussion today will include certain statements that are forward-looking and subject to various risks and uncertainties, including, but not limited to the specific factors summarized in our 2016 Form 10-Q for the period ending June 30, 2017 and our Annual Report on Form 10-K for the year-end December 31, 2016. This information represents our best judgment based on today's information. However, actual results may vary based on these risks and uncertainties. The Company undertakes no obligation to update or revise any forward-looking statements. During the conference call, we will refer to certain non-U.S. GAAP financial terms that we use in the management of our business; these include EBITDA, adjusted EBITDA, adjusted EBITDA margin, free cash flow and adjusted earnings per diluted share. Reconciliations to their nearest U.S. GAAP terms are provided both in our earnings release and in the appendix of the slide deck. It's now my pleasure to turn the call over to Peter Johnston. Peter?
Peter Johnston: Thank you, Brennen, and good morning, everyone. The third quarter was indeed a very successful one for us strategically, financially and operationally. TiO2 business continued to deliver very strong results, posting revenue growth of 28%, adjusted EBITDA growth of 79% and adjusted EBITDA margin of 31% and free cash flow of $120 million. The last time we achieved a 31% adjusted EBITDA margin was the third quarter of 2012, when TiO2 pigment selling prices were 33% higher. This level of performance clearly reflects the benefits of our vertical integration with all our assets in full operation and the extraordinary work by our global TiO2 team to reduce costs through the successful implementation of their Operational Excellence program. We also made great progress on our strategic developments. We completed the sale of Alkali Chemicals for $1.325 billion on September 1. We completed a refinancing on September 22 that lowered our cost of debt, extended maturities, increased liquidity and provided additional paydown flexibility. Our shareholders approve the issuance 37.58 million Class A Shares to Cristal in connection with the transaction on October 2. And finally, a secondary offering of 22.425 million Class A shares was completed by Exxaro Resources Limited on October 10. All funds are now assembled to complete the planned Cristal transaction. At third quarters end we had cash and cash equivalents of $1.06 billion, total liquidity of $1.3 billion, plus an additional $650 million of restricted cash set aside for the Cristal transaction. Most importantly, Cristal TiO2 acquisition integration planning continues to proceed on schedule select from day one we can begin to realize the substantial value creation enabled by our combination. We have now received approval for the transaction from six of the nine regulatory jurisdictions, Australia, China, New Zealand, Turkey, South Korea, and Colombia, reviews in the U.S., the EU, and Saudi Arabia are ongoing. We continue to work closely and cooperatively in the normal course with these three regulatory agencies to obtain the remaining outstanding approvals for the transaction. As we have previously stated, we anticipate obtaining all approvals and closing the transaction by the end of the first quarter of 2018. In summary, we are confident that 2017 will be a year of strong performance and the 2018 will be a transformational one for Tronox. I will now turn the call over to Jean-François or JF as he prefers for review of our TiO2’s third quarter performance. JF?
Jean-François Turgeon: Thank you, Peter. TiO2 deliver strong third quarter performance. The focus of our team is a singular one that is to deliver sales, quality, low cost, done to our customer. If we do that successfully, our financial performance will follow. This was evident again in the third quarter with revenue growth of 28%, adjust EBITDA growth of 79% and adjust EBITDA margin of 31%, and free cash flow of $120 million. Let’s take a look at the driver of this performance. Beginning with the topline and the year-on-year comparison. TiO2 segment revenue of $435 million increased 28% compared to $339 million in the year-ago quarter driven primarily by higher selling price for pigment, zircon and pig iron. Pigment sales of $317 million increased 22% compared to $260 million in the year-ago quarter, as sales volumes increased 1% and average selling prices increased 21%, 20% on a local currency basis. Pigment selling price were higher in all regions. Titanium feedstock and co-products sales of $108 million increased 69% from $64 million in the year-ago quarter, driven by higher selling prices for zircon, natural rutile and pig iron, as well as higher sales volumes for zircon, pig iron and CP titanium slag. We realized higher selling price for all three major co-products and significant volume growth for two. Zircon sales volumes increased 10% and selling prices increased 19%. Natural rutile sales volumes were 3% lower while selling prices increased 5%. Pig iron sales volumes increased 148% reflecting the full utilization of our slag furnace. Selling price increased 33%. In feedstock, CP titanium slag sales occurred in quarter where there was no sales in the prior year quarter. Ilmenite sales volumes increased 77% and selling price decreased 5% due to product mix. Specifically, the sales of lower price sulphate ilmenite rather than higher price chloride ilmenite. Moving to the sequential comparison, TiO2 revenue of $435 million increased 3% versus $421 million in the second quarter, driven primarily by higher sales volume of zircon and pig iron and higher selling price for pigment and zircon. Pigment sales of $317 million were 4% higher than sales of $306 million in the prior quarter. Sales volumes were 5% lower reflecting a normal seasonally light third quarter, while the selling price increased 9%, 7% on local currency basic. Selling prices were higher in all regions. Titanium feedstock and co-products sales of $108 million increased 9% from the $99 million in the second quarter, driven by healthy market conditions in zircon. Zircon sales volume increased 23%, as a shipment made in the quarter moved from the second quarter, while selling prices increased 13%. Natural rutile sales volumes were 27% lower, also due to shipment timing from the third quarter to the fourth quarter, while selling prices were level to the prior quarter. Pig iron sales volume increased 39% and selling prices were 2% higher. CP titanium slag volume were 33% lower than the second quarter, when a larger shipment was made and selling prices decreased 5%. Ilmenite sales volume decreased 66%, also due to shipment timing, while selling price improved 3%. Moving to profitability and cash flow metrics, TiO2 adjusted EBITDA of $136 million was 79% higher than the $76 million in the year-ago quarter, driven primarily by higher selling prices for pigment and zircon and the benefit of higher production efficiency across all integrated operations. Our adjusted EBITDA margin was 31% in the third quarter. As Peter said, the last time we achieved a 31% adjusted EBITDA margin was the third quarter of 2012, when pigment price were 33% higher. We benefit from the full quarter of all four of our South African slag furnace running at full utilization. In addition to continuing to run our synthetic rutile kiln in Australia and our pigment plant at full utilization. Compared sequentially, TiO2 adjusted EBITDA of $136 million improved by 11% from the $123 million in the second quarter, driven by higher pigment selling price, higher zircon sales volume and selling price and the benefit of higher production efficiencies. TiO2 segment income from operation of $75 million increased more than four-fold from $17 million in the year-ago quarter and increase from the $61 million in the prior quarter. TiO2 delivered free cash flow of $120 million to the Company as cash provided by operating activity was $142 million and capital expenditure were $22 million. So all-in-all the strong quarter and one that directly reflect the benefit of our vertical integration in healthy market condition and the extraordinary work by our global TiO2 team to reduce costs through to successful implementation of our operational excellence program. I will now turn the call over to Tim for a review of our financial position. Tim?
Timothy Carlson: Thank you, JF. I’ll begin with a review of corporate items and then move to our balance sheet and cash flow statements. Corporate loss from operations was $24 million, compared to a loss from operations of $17 million in the year-ago quarter and loss from operations of $30 million in the prior quarter. The loss from operations in the third quarter included a net $8 million of professional fees, $13 million related to the Cristal transaction offset by $5 million of prior quarter Alkali transitional expenses that were reclassified to discontinued operations. The loss from operations in the second quarter included professional fees of $11 million, related to the Cristal transaction and a process to market our Alkali business. Corporate adjusted EBITDA was a negative $13 million, compared to a negative $18 million in the year-ago quarter and a negative $24 million in the prior quarter. Corporate cash used in operations was $105 million and capital expenditures were $1 million. The $105 million of cash used include $50 million related to semi-annual bond interest payments made in the first and third quarters each year, $21 million of transaction costs related to the sale of Alkali as well as $13 million of transaction costs related to the Cristal acquisition. Selling, general, and administrative expenses were $54 million in the third quarter, compared to $47 million in the year-ago quarter and $63 million in the prior quarter. SG&A expenses in the third quarter included the net $8 million of professional fees related to the Cristal and Alkali transaction described above. SG&A expenses in the second quarter included $11 million related to the Cristal transaction also described above. Interest and debt expense of $47 million compares to $46 million in the year-ago quarter and $47 million in the prior quarter. On September 30, 2017 gross consolidated debt was $3.014 billion and debt net of cash and cash equivalents was $2.08 billion. Cash and cash equivalents were $1.06 billion and total liquidity was $1.3 billion. In addition, we have $650 million of restricted cash that set aside for the Cristal transaction. As Peter said, all funds are now assembled to complete the planned Cristal transaction. Our blended cost of debt was 5.16% in the third quarter down from 5.72% in the second quarter reflecting the 56 basis point benefit in the resulted from our refinancing. On September 30, 33% of our total indebtedness was set at a fixed rate down from 49% last quarter. Our expectation for cash interest for the full-year continues to be in the $170 million to $180 million range. Capital expenditures were $23 million and depreciation, depletion, and amortization expense was $45 million in the quarter. For the full-year we expect capital expenditures to be approximately $100 million and depreciation, depletion, and amortization to be approximately $180 million. Both estimates exclude the Alkali Chemicals for the full-year. With that, I thank you and I’ll turn the call back to Peter.
Peter Johnston: Thanks Tim. As we have said we are confident that 2017 will be a year of strong performance and that 2018 will be a transformational one for Tronox. We see the momentum and our TiO2 continuing well into 2018 as we expect to benefit from the favorable market conditions in both pigments as well as in titanium feedstock and co-products, and the benefits of our vertical integration with all our assets in full operation. We see continued tightness in the global supply demand balance across the entire value chain of our business. We believe that pigment inventories in aggregate remain at or below normal levels across the industry. We also I believe pigment producers globally are running at high utilization rates because of these favorable market conditions, this includes Chinese producers. The result is little untapped global capacity. Because of this tight market conditions, we are seeing tightening conditions in feedstock markets. This should provide cost pressures on non-integrated pigment producers, who purchased feedstock. Tronox as a fully integrated producer will benefit from raising margins at both feedstock and pigment levels. We are also seeing tightening supply demand conditions in zircon and expected benefit from higher sales volumes and selling prices in the fourth quarter. Regarding the strategic developments underway, we have completed most of the major milestones necessary to complete the transaction. Our integration planning continues to proceed on schedule whilst we are awaiting the remaining outstanding regulatory approvals. We continue to work closely and cooperatively with the regulatory agencies in the U.S., the EU, and in Saudi Arabia to obtain the remaining outstanding approvals for the transaction. We are providing them with the information, documents, and data that the agencies typically request in a major investigation. As we have previously stated, we anticipate obtaining all approvals and closing the transactions by the end of the first quarter of 2018. With that, I thank you. We now open the call for questions.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Hassan Ahmed with Alembic Global.
Hassan Ahmed: Good morning, Peter.
Peter Johnston: Good morning.
Hassan Ahmed: Peter, first question around pigment operating rates. Obviously, as I take a look at the numbers, volumes were up 1% within pigments year-on-year, but down 5% sequentially. And obviously you guys talked about normal sort of seasonal demand downtick. Just trying to sort of reconcile this with what I came across at some of your other competitors, a large competitors of yours reported 8% year-over-year volume gains, so just trying to sort of reconcile volumes at Tronox versus some of the competition. I mean was it that maybe last year or last quarter you guys were already hit extremely high operating rates which you continue to be, but just experienced a tinny downtick.
Peter Johnston: Thanks for the question. And look before – I’ll refer to John, but before I want to – we answer that question, I just want to add a little bit if you allow me a little bit of leeway. I have to add to the formality of the presentation that I also believe that Q3 was the best quarter for Tronox in the last five years and that was our main achievement. You don't get performance like that – like we have just reported in Q3 without a strong focused management team. I think the team continues to deliver outstanding results in all areas. And I just wanted to formally congratulate them on their performance, so take that these results weren’t just an aberration, I continued the consistent performance throughout the entire year. I just wanted to add that. And thank you for your question and like to hand over the response to John Romano.
John Romano: Hi, Hassan. So look I guess I'd start off by saying that the third quarter volume was actually our best third quarter volume since 2009, so we are continuing to see volume growth. Quarter-over-quarter growth typically we’ll see about a 2% decline in Q3 versus Q2. Ours was not quite 2% this particular time. We did have some maintenance at Hamilton in the third quarter which kind of limited our ability, but the reality is we continue to get more out of our assets. We’re running at high capacity utilization rate with this particular stage and I think as we move into Q4, as we have in Q3, we’re continuing to focus on margin. Our revenue was up considerably and when we think about that focus on margin, it's trying to manage and where those tons go. So we can optimize the margin and the revenue.
Hassan Ahmed: Very helpful, now slightly different sort of subject, the whole sort of China, pollution, capacity, rationalization side of things, just this morning, news came out that Lomon Billions is considering shutting down one of its facilities from mid-November to mid-March of next year. So we would just love to hear your views and what you guys are seeing on the ground over there with regards to this pollution related capacity rationalization side of things and how we should sort of start thinking about that in terms of global utilization rates and the like?
Peter Johnston: Thanks for that. It’s a very good question, JF?
Jean-François Turgeon: Good morning, Hassan. Look Hassan, as you can imagine, we track very closely what happened in China and what we have seen recently is the government is more and more serious about the environmental impact that all industry have on the country and that directly impact the TiO2 industry. I think we've been seeing for the last couple of years that small sulfate plant in China would shutdown and they are shutting down at the moment and even the bigger player needs to invest significantly to improve their environmental capability at running their plant and it takes time to implement those new system, those air, cleaning system and the government is so serious that if force those plant to shutdown while those equipment are install. But the reality of all this environmental pressure if it becomes a more genius playground to compete and we feel very comfortable today that the Chinese price has moved in the same range as our price and that's what we have seen in 2016. We seen in the pigment price moving with 13 increases that were announced last year and this year that has continue and today I'd say that that sulfate pigment plant compete with ours. And we have worked hard at improving our plant, improving the cost of our plant, and today we think we can easily compete with the Chinese. It's a global world and I think that we are convinced that as that pressure continue the growing demand in China will be in line with the growth of production and that create a situation where you have a balance supply demand market and that's a good situation for us. So I hope that helps for your question?
Hassan Ahmed: Yes, very much, so and a final one if I may sneak in one, could you guys just give us an update on the CEO search?
Peter Johnston: Yes. Look, we've said consistently there's been a rigorous and power search conducted by the Board. The search is in its final stages and we expect to mic announcements before year-end.
Hassan Ahmed: Perfect. Thank you so much guys.
Operator: Thank you. Our next question comes from the line of Jeffrey Zekauskas with JPMorgan.
Jeffrey Zekauskas: Thanks very much. When you look at the third quarter Cristal results, were they consistent with your expectations or were they higher or lower?
Timothy Carlson: I can answer that. Thanks Jeff. Well Cristal is a private company and at this stage of course we're not at sign is, so the information is confidential. However, we remain confident that they are on track and that out combination has the potential to generate as we've said approximately $1 billion of EBITDA next year in the $400 to $500 in free cash in year one. If the causing occurs early in 2018, I think we will deliver those large numbers. So we're confident their performance continues.
Peter Johnston: Jeff, in addition to that probably the – follow on question is the synergy question that a lot of people ask. As we continue our integration planning we are increasingly confidents that we will meet were feed our synergy targets that potential to actually realize them a lot earlier than planned.
Jeffrey Zekauskas: Okay. Sequentially how much the TiO2 volumes for you usually fall off in the fourth quarter?
Peter Johnston: John.
John Romano: In the fourth quarter it's about 2%.
Jeffrey Zekauskas: 2% sequentially and you spoke out…
John Romano: Yes, it’s Q3 to Q4 is that right?
Jeffrey Zekauskas: Yes. You spoke of some inflation in raw materials and I guess you mean ilmenite or rutile. What's the level of inflation you're expecting for 2018?
Peter Johnston: JF?
Jean-François Turgeon: Jeff we have seen and ilmenite price move significantly in 2017 and obviously ilmenite is the raw material to make high grade feedstock. So it's expected that in 2018 and the fourth quarter of 2017 that and we have start to see that that high grade feedstock will move up in price. Look we don't comment forward-looking price. So I cannot tell you what we expect for next year feedstock price, but what I can tell you as we expect that to be higher than what it was in 2017.
Jeffrey Zekauskas: Okay. Well if you don't comment on forward-looking pricing. How about backward looking price in ilmenite or in rutile or even in titanium dioxide in the course of the third quarter what magnitude of price increases have you heard?
Timothy Carlson: Unfortunately Jeff, we don't comment on an absolute terms on price share level or even nominations or certainly traction on those nominations.
Jeffrey Zekauskas: Okay.
John Romano: It’s one clarification and you were referring to that sequential decline the 2% I was referring to was Q2 to Q3 it's typically about 4.5% and 5% Q3 and Q4.
Jeffrey Zekauskas: Okay. Great. Well, I guess the maybe one last thing. If it turns out theoretically that you didn't get a perfect clearance from the U.S. regulators. In theory could be the Ashtabula facilities that Cristal has to be divided that is – is theoretically possible that one could be divested or to those plant somehow get tight together so they're really not separable.
Timothy Carlson: Jeff, that's a very hypothetical question. Of course we remained very focused on obtaining early regulatory approvals. We have no discussions on any of those scenarios and done intent to. We're focused really on closing the transaction and there's not a timeframe, but we're aiming for the first quarter of 2018.
Jeffrey Zekauskas: Okay. Great. Thank you so much.
Operator: Thank you. Our next question comes from the line of Matthew DeYoe with Vertical Research.
Matthew DeYoe: Good morning, gentlemen. I’m actually on the road, so I apologize for any ambient noise you may hear, but just starting off the outlet for the industry is fairly constructive. I think the primary risk that many of the investors [indiscernible] producer base. So that said the market [indiscernible] cover, but how do you think about the relationship between price traction and cyclical stability next years?
John Romano: As we mentioned early in the call it can't really I mean too much on forward pricing you know that the inside as we move into Q4 we are suspecting to see modest movement in price in the fourth quarter and when we think about 2018 where we are today there's a supply demand situation where we continue see the market tight. So I think at this particular point in time we're focused moving into 2018 on the integration and cost reduction and obviously the margin will follow that.
Timothy Carlson: Yes. Matt, I will add that, we have a very modest price appreciation assumption in our 2018 forecast.
Matthew DeYoe: Okay. And then I don't know how much should be pivot to this, but is there any kind of expectation internally on the pace of divestitures out of Exxaro? Do they have a timeline as expressed with U.S. to when they would like to liquidate the position?
Peter Johnston: Matt, as you know we had very successful secondary offerings where we are able to sell [22.4 million] shares for them. Subsequent to that they still own 28.5 million. They are under a 90-day lockup. They have publicly announced as they said they tend to sell the remainder of their shares over a stage process over time. They have not shared with us any specifics other than that.
Matthew DeYoe: Okay. Thank you.
Operator: Thank you. Our next question comes from the line of John Roberts from UBS.
John Roberts: Good morning. Can you hear me?
Peter Johnston: Yes, we can.
John Roberts: In your EBITDA contribution comment about Cristal, do you assume there were costs basically go up in line with your ore profits in the Tronox business, so that – even though the ore costs are going up and even though your integration won’t be completed right away you're kind of financially edged at least?
Peter Johnston: Tim could you like to comment or Brennen.
Timothy Carlson: In our assumptions embedded in Peter's comment about the 2018 or year one potential in terms of adjusted EBITDA, the combined company will benefit as an integrated producer. It’s a cost of goods sold across the entire 11 pigment plants demand for feedstock. So there's no assumption of paying, obviously paying any margin on that feedstock.
Peter Johnston: Other than the third-party feedstock will be purchasing as a result of being short in vertical integration, but that's the priority.
John Roberts: Okay. And then when you close Cristal, will you report just one TiO2 segment like you did last night. Will we get any additional granularity on the combined businesses either by region or by market?
Peter Johnston: One segment is our current plan.
Timothy Carlson: And within that it's our intention to maybe give a little more transparency on a product by product basis for one reporting segment.
John Roberts: Thank you.
Operator: Thank you. And our next question comes from the line of Roger Spitz of Bank of America.
Roger Spitz: Thank you and good morning. Perhaps you can comment a little bit on your mineral sands profitability. It sounds like it's been improving its own segment, so we don't have that clarity maybe you can talk just generally about the movement in mineral sands profitability where you think we are in the cycle? I think perhaps you have said or someone said that it tends to follow, the pigment just delayed by six or nine months if you could comment on that. Thank you.
Jean-François Turgeon: JF. Thank you, Peter. And it's a good question, Roger. And look what I can say as you know zircon and natural rutile are high EBITDA generator because we get that product as the co-product of the ilmenite extraction in our mine. And what we have seen in the last few months is a very tight market for zircon because the supply demand is in balance basically, and we expect that to continue in 2018, so that's good for that co-product that come as part of the mining of our raw material. And as you know, we started the Fairbreeze Mine last year and we now run the Fairbreeze Mine at full capacity, so we get a nice stream of revenue from that zircon and we expect to see some improvement next year related to that. On the other co-product, the natural rutile, and as I mentioned earlier when I was talking about what happened with the ilmenite price. Normally when pigment price start to move up about six to nine-month after you start to see the feedstock price moving up and we have seen that with ilmenite, but the high grade feedstock has been lagging a little bit. But what we’re seeing now is that there is movement in high grade feedstock and it’s logical because as ilmenite price increase, you need ilmenite to make those high grade feedstock like slag and synthetic rutile. So we are seeing a movement in that and because all the pigment plant in the world are running at high utilization rate, while they consume a lot of feedstock and we're now in a situation where the supply demand for feedstock is tight and the natural price is moving to balance that situation. And all other coal product that is important for us is pig iron. And as we mentioned, we now run all our assets at full utilization. So last year we restart our fourth furnace in South Africa and in Q3 this year all of our asset are running at maximum capacity and obviously we are producing more pig iron as we produce more slag and look the pig iron market is a huge market and whereas very small player. So it's fairly easy for us to sell all of the production that we make. So that's a good situation for us at the moment. All our coal product are experiencing a good market and we expect that to continue.
Roger Spitz: Thank you very much for that. Thank you.
Operator: Thank you. Our next question comes from the line of Duffy Fischer with Barclays.
Mike Leithead: Hey, guys. This is Mike Leithead on for Duffy this morning. You mentioned in your release that Cristal integration planning is on schedule. I was wondering if you could just talk a bit about what areas you're able to get started on before the deal closes and what areas you need to wait for the deal to close before getting started.
Peter Johnston: Tim?
Timothy Carlson: To the integration planning that we've done is pretty preliminary as a result of our waiting for anti-trust. We've had a lot of general discussions on those areas that are not customer or logistic spacing as it relates to Finance, IT, Human Resources, a lot of the General Administrative costs. And then we've done some preliminary updates to our modeling as it relates to synergies in some of the manufacturing operational excellence activities. So we still have quite a bit of work to do on the customer and logistic side, which will do once we do get anti-trust clearance. But we have progressed pretty well and see upsides or assumptions on really the G&A areas.
Mike Leithead: Great and then you mentioned earlier in the call that margins I guess are now at the highest level since the last peak around 2012 and the industry outlook is for further pigment supply demand tightening. I guess with that backdrop, why do you think we haven't seen producers decide to build new TiO2 capacity or even deeper bottlenecks yet? My guess is your customers will probably need more pigment two, three years from now then current levels and it doesn't seem like there's much more squeeze out of current capacity? Thanks.
Peter Johnston: JF?
Jean-François Turgeon: Thank you, Peter. Mike, look we feel that we haven't yet reached the reinvestment level. When you decide to invest in a new pigment facility, I mean you're talking about major capital investment, and well our investor wants a good return on investment. So that's why it hasn't happened yet.
Operator: Thank you. [Operator Instructions] And we have a question from the line of [indiscernible].
Unidentified Analyst: Yes. Thank you. Setting aside titanium dioxide, what are your plans with the Henderson operation, your manganese, and boron, lithium manganese that operation going to be continuing those elements, those chemicals?
Peter Johnston: Thanks, for the question. John?
John Romano: Yes. Look, our electrolytic business it’s located in Henderson, Nevada. I think the last call and consistently kind of talked about it's not a core asset for us and at this particular stage, we have not put that business up for sale, but we are marketing the business to assess interest and that's about all we have to said on that this particular point.
Unidentified Analyst: Are you still producing all of the products are?
Peter Johnston: Absolutely.
Unidentified Analyst: Okay. Thank you. End of Q&A
Operator: Thank you. And that concludes our question-and-answer session for today. I'd like to turn the floor back over to Peter Johnston for any closing comments.
Peter Johnston: Thanks everyone for joining the call and thanks for those questions as well. Just in summary the third quarter continues the solid performance in 2017 we always said this was a year of performance and we have now consistently delivered quarter-on-quarter the performance continues to be strong for a very Q4 as well. So that will be a year of transformation, we’ve got a couple of strategic issues to tackle there with the FTC other than that we have clear it's a good market for the clients are running flat out and it's a it's a great management team and we're delivering. With that thank you very much.
Operator: Ladies and gentlemen thank you for your participation in today's conference. This does conclude the program. And you may now disconnect. Everyone have a great day.